Operator: Good day, everyone, and welcome to today's Clean Energy Fuels Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only-mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note, this call may be recorded, and I will be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Mr. Robert Vreeland, Chief Financial Officer. Please go ahead, sir.
Robert Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the third quarter ending September 30, 2024. If you did not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Such forward-looking statements are not a guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy's Form 10-Q filed today. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. With that, I will turn the call over to our President and Chief Executive Officer, Andrew Littlefair.
Andrew Littlefair: Thank you, Bob. I'm pleased to report that our strong performance in the first half of the year continued through the third quarter, reported $21.3 million in adjusted EBITDA for the quarter versus $14.2 million in the third quarter of last year, sold 60 million gallons of RNG during the quarter and brought in $105 million of revenue versus $96 million for the same quarter in 2023. And we ended the quarter with a little over $243 million in cash and investments. All in all, a very solid quarter. I'd like to remind everyone that this performance is based on Clean Energy's underlying fuel business with a solid distribution network, allowing us the ability to offer solutions to customers that are right for their specific operations. As an example, during the third quarter, we opened another state-of-the-art station through our contract with Amazon in Bordentown, New Jersey. We are already seeing steady fuel volume from Amazon trucks utilizing both time fill posts specifically built for them, as well as the publicly accessible fast fill dispensers. Bordentown station is strategically located along one of the busiest trucking corridors in the country, right off the New Jersey Turnpike and Interstate 295, halfway between New York City and Philadelphia. The fuel volume from the Amazon trucks will anchor the station as well as the other 17 that we've built under that contract. But an additional benefit is that these stations have allowed us to expand our fueling network by almost 15% this past year for other heavy-duty truck fleets. These stations are in key locations in preparation for the future adoption of renewable natural gas fueling associated with Cummins X15N. Peterbilt and Kenworth trucks that are equipped with the X15N continue to be tested by the most important fleets around the country and are receiving extremely good reviews. The likes of Werner, Walmart, UPS and Knight-Swift are running these trucks nonstop over the toughest of terrains. We are particularly excited about launching our own X15N demo truck program last quarter. lean Energy's new Peterbilt 579 day cab tractor equipped with an X15N was delivered to the first customer, J.B. Hunt, in September. J.B. Hunt tested it for several weeks in and around Southern California and Nevada. It was then handed off to Ruan and is booked through next year, working its way across the country. In fact, J.B. Hunt has asked to get back in the queue to operate the truck again along different routes. Fleets are gathering important data and experience from testing the X15N. For instance, during their experience operating our demo truck, J.B. Hunt found that the truck got significantly better fuel mileage than the 12- liter, while their drivers noticed the additional power and torque. Ruan ran the truck from Fontana, California down to the Mexican border and over different terrains, highways and urban routes. We believe truck orders and deployments will increase next year, which we would expect to drive additional fuel volumes at our stations in the second half of the year. Our friends to the north are also giving us reason for optimism about the X15N's impact on the heavy-duty market. Bob and I were in Calgary, Canada a few weeks ago to celebrate the opening of the station that we constructed under our partnership with Tourmaline, one of the largest natural gas E&P companies in Canada. I stood with Mike Rose, Tourmaline's CEO in front of multiple Mullen and Martin Brower natural gas heavy-duty trucks to cut the ribbon at the Calgary station. Murray Mullen, the CEO of one of Canada's largest third-party carriers, explained very nicely at the event that with the long-distance routes, cold weather and extreme terrain in Western Canada, natural gas is really the only alternative fuel solution that works. Canada is serious, if not more so than the U.S. about reducing emissions, which is why they are embracing and promoting natural gas heavy-duty trucking. Another Clean Energy Tourmaline station in Grand Prairie, Alberta opened at the same time as the Calgary station. And with an existing station in Edmonton, we now have the first link to a new natural gas fueling corridor for heavy-duty trucks in Western Canada. We recently broke ground on the fourth additional station and identified locations for three others, which is perfect timing for the arrival of the Cummins X15N in Canada. We offer the transit market different fueling solutions, and it continues to remain strong. As an example, we announced last quarter that one of our largest agencies in the country, Harris County MTA in Houston, awarded Clean Energy a contract to build a private fueling station, which is one of the largest transit stations ever awarded to us. Station is expected to use about 2 million gallons a year to fuel Houston buses. We currently provide 60 different transit sites for 32 customers around the country with RNG. In fact, just last week, we moved NICE, the largest transit agency in Long Island, New York from CNG to RNG, benefiting the bus system both sustainably and financially. Another solution that we offer transit agencies is the construction and maintenance of hydrogen stations as agencies begin to explore that alternative. As you know, we were awarded the contract to build a hydrogen station for Foothill Transit and completed it earlier this year. Foothill is already expanding the number of fuel cell buses that will be utilizing the station. And hot off the presses late last week, we were awarded a contract by Riverside Transit Agency here in Southern California to build a new state-of-the-art hydrogen station. As we said, after 27 years of being the leading alternative fuel company, we will go where our customers go and have the capability to provide them with a superior experience with multiple solutions. The beauty of RNG is that it can be used as a fuel itself or as the cleanest feedstock for other alternatives. Turning to our RNG production business. We continue to make good progress on our projects at dairy farms across the U.S. We currently have 6 operating projects, 2 projects under construction that are expected to come online in the second half of 2025 and other RNG projects in advanced development through our new partnership with Maas Energy. I spoke about the new relationship with Darryl Maas on our last call as the ink was barely dry on the contract. Over the last 3 months, we have only become more bullish about the partnership with Maas. We've identified locations in Georgia, Florida, New Mexico, Nebraska and South Dakota to construct RNG projects utilizing the covered lagoon method that Maas has perfected. Let me end my remarks by addressing what is top of mind for all of us. Here we are a day after an election with the unknowns of the new administration and Congress. And to heighten the regulatory drama even more, the California Air Resources Board is meeting tomorrow to address the future of the state's Low Carbon Fuel Standard program. On the latter, we have worked with a broad coalition of partners supporting the LCFS and feel relatively optimistic that the members of CARB will vote to approve supportive adjustments to the LCFS. The RNG production and transportation industries work with CARB to improve certain aspects of the program, and we should be pleased with the final product. California will continue to be a leader in supporting low-carbon transportation, which should result in stronger credit prices. Now on the federal side, I have a level of comfort that RNG will continue to be seen as a rational alternative with the new administration and Congress. All the criticism of environmental policies from President Trump, as well as important members of Congress who will be in the leadership have been aimed at those that only support a single technology, electric vehicles. We believe that there will be strong support for emissions reductions, but that needs to be accomplished by market forces rather than government picking the technology. As an example, as you know, the current alternative fuel tax credit is set to expire at the end of this year. Expirations of the AFTC have come in presidential election years as well as off years of Republic administrations and Democratic. And it continues to be extended either in a lame duck session or Congress or even after the expiration date through some sort of tax policy vehicle, and it receives bipartisan support when it is extended. However, for now, its status for 2025 is uncertain. In addition to the AFTC, we are hopeful that the RNG tax credit will be taken up next year by Congress. Very strong bipartisan members in both the U.S. Senate and the House are sponsoring the legislation with a combination of urban congressional members seeking cleaner air and rural members that like the economic development in their states and districts. The RNG industry continues to await final guidance on Section 45Z production tax credit. This PTC, which begins in 2025, will play a role in supporting low-carbon fuels like the dairy RNG that we produce and deliver through our station network. We believe that with the support from the transportation and agricultural industries, either the current administration will issue the guidance before leaving or the next administration will release the final guidance soon after settling in. So there is a lot of wood to chop on the regulatory and legislative front. Fortunately, we have never been totally reliant on grants or direct subsidies. We continue to operate our business with a realization that different outcomes could happen. As I've given you a few examples, we have an underlying business that remains strong based on the integrated platform, a full suite of services to offer customers to decarbonize their operations with RNG and a recurring financial model. And with the introduction of an exciting new engine for the heavy-duty market, we believe RNG will continue to gain acceptance when other technologies continue to struggle. And with that, I'll hand the call back to Bob, who will give more detail about our strong quarter.
Robert Vreeland: Thank you, Andrew, and good afternoon to everyone. The third quarter of 2024 was another good quarter of financial results. Our revenues, GAAP net loss and adjusted EBITDA for the third quarter 2024 were all much improved over last year. Revenues were higher than last year, principally from a higher mix of station fueling gallons, higher RIN credits, higher alternative fuel tax credit revenues and service revenues. LCFS revenues were less than a year ago, mainly due to the lower credit prices in 2024 versus 2023. We continue to see good margins from our fueling gallons like we have seen in the first two quarters where there has been a favorable commodity spread between the price of oil and natural gas, giving support to a higher base commodity margin and coupled with the higher RIN credit revenue from pricing and from receiving greater share of the RIN on higher RIN - on higher RNG volumes. Considering our net results for the year through September 2024, this puts us in a good position relative to our 2024 outlook for our net GAAP earnings and adjusted EBITDA. So our 2024 outlook remains unchanged. Our RNG volumes of 59.6 million gallons for the third quarter of 2024 grew at 5.1% compared to the third quarter of last year, where the volume - RNG volume was 56.7 million gallons. But I will point out that last year's RNG gallons included about 4 million gallons of RNG that were kind of one-off deliveries that did not repeat in 2024. The credit prices - average credit prices for the third quarter of 2024 averaged $3.35 for the RINs and $55.67 for the LCFS. That compares to last year where the average RIN was $3.01 and the LCFS was $74.20, quite a difference. For our RNG production upstream operations, we reported a lower GAAP net loss and lower negative adjusted EBITDA in the third quarter versus the first two quarters of this year as we began to produce RNG and monetize the credits being generated. And almost half of the net loss for this third quarter was actually attributed to our operations around our project in Idaho, which is not expected to begin producing RNG until the fourth quarter of 2025. Our cash flow from operations for the third quarter '24 was $21.4 million versus $7.7 million a year ago. And as Andrew pointed out, we ended September with $243.5 million in cash and investments, although we did fund a capital call into our Maas dairy joint venture arrangement of approximately $30 million in October. And I think my last comments here, I'd like to just take a moment to look at 2025. As we normally do, we will provide our annual guidance on our next call in February. So I won't go into great details here, but I did want to give some insight and emphasize some areas to help set expectations for 2025. There are three areas, three areas I wanted to touch on. The first being to reiterate Andrew's point on the alternative fuel tax credit that expires at the end of 2024. And of course, it is not known whether that would be reinstated. So that AFTC revenue and earnings could be about $22 million to us in 2024 that may not, as of now, repeat in 2025. So that's particularly important if you're trending off of '24. Second, and to also highlight Andrew's point on the X15N in is, it's important to note that we see those volumes happening at our stations in the second half of 2025. And that, as we all know, the volume is very important, but that timing is important as well to our results. And third, on our RNG production from our equity investment joint ventures, we are looking at a volume output in the range of 4 million to 6 million gallons for 2024. That's 4 million to 6 million gallons for 2025 - sorry, I think I said '24. This considers where we are today with production and looking at how these projects should continue to ramp up volume through 2025. The related economics generated from those gallons is something that is still being evaluated, mainly because there is no guidance yet on the production tax credit, which could have a significant favorable impact. And we are really still in kind of ramp-up mode on those projects. Importantly, I think the gallon estimate should help. And hopefully, these three points here is helpful as you start to shape your models for 2025. And with that, operator, we can open the call for questions.
Operator: Thank you. [Operator Instructions] We'll go first to Rob Brown with Lake Street Capital.
Robert Vreeland: Hey, Rob.
Rob Brown: Good afternoon. Hi, good afternoon. I guess just first on the - on kind of the Maas partnership, what's sort of the set of opportunities there? And how quickly kind of - did those come in quicker than the other RNG facilities as they get built given the design?
Robert Vreeland: Well, Daryl has a stable - gosh, I think over time, he's built - brought online 60 projects. These contemplate these are the first 4 of 6 that we kind of anticipate doing. Now we're working with Darryl all the time on different projects and offtakes. And so we've got a lot of things going on. And so we have kind of a fluid series discussion with him. We like Daryl very much. So these are - this will be the first four. It involves more than four dairies. So we've talked about that on other calls. We have a few different dairies. And I would say, Rob, while Darrel has a very good operating history, construction history, he's been a pioneer in the covered lagoon model. These projects still take the better part of over a year to bring online. So it's my hope that we'll see some that will be kind of in the commissioning towards the end of 2025, but they're really late '25, early '26 kind of projects. So that's kind of the way these things go.
Andrew Littlefair: And we're getting as many of those, frankly, under construction this year.
Robert Vreeland: Because that's key for the...
Andrew Littlefair: That's key to the ITC.
Robert Vreeland: Yeah. So they'll be - they're all going to be underway to qualify for the ITC. But the immediate ones, we kind of have that line of sight, and we're going to get those going, yeah.
Rob Brown: Yes. Good. And then on the 15-liter rollout, you gave some good color about some of the trials going on and gallon volume ramp in the back half of the year. But how do you sort of foresee that going into fleets? Are these sort of the traditional model where there's groupings and they ramp over time? Or do you see some people thinking about bigger rollouts at this point given the maturity?
Robert Vreeland: Well, you know, Rob, we - as you know, we've been talking about this now a long time. So it's kind of like Johnny one note. But I mean, we do continue to be very optimistic about the X15N. It is, as we've discussed, I think it's important to remind everybody, it's a really big piece of the over-the-road engine market. I mean 70% of all the trucks that are purchased are a 15-liter. We haven't had that. So it's key. But this is a new introduction. I kind of tuned in the other day to Cummins conference call and the comments made by the CEO where she - and look, I'm out of the business projecting numbers all the time, right? I've gotten into trouble with that many years ago. But I did pay close attention to her mentioning the 250 that were ordered by UPS. What I like about where we are today and kind of this period to be in this business a long time is we're now dealing with some of the largest fleets in the world that operate the largest fleets that buy. So when I casually mentioned Knight Swift, well, listen, Knight Swift on a normal year purchases 5,200 trucks just to replace. So you're finally getting with really the very significant fleets that have some real purchasing power. Now 250, I was very pleased to see that. I'd like to think we're at an introduction of natural gas and RNG where we're kind of past onesie, twosies and we're into a little bit larger deployments, which this UPS would suggest. But this is a new project, a product. So you're still going to have folks wanting to get comfortable with 25 and 50 type orders. I think that would be kind of the expectation. In conversation with one of the senior marketing officers at Cummins, he said what we're really focused on as we approach the market with the 15N is the breadth of fleets that we can bring into this. He said, it's hard to build exciting volume if you're only relying on four really large fleets. So you want to see as you introduce this significantly. And as the CEO of Cummins talked about 8% penetration over time, which would be significant, you need breadth of the market to be able to have lots of different fleets ordering these vehicles. So I like where we are. I'm - it couldn't happen faster for me, but we see an orderly transition. We see the customers beginning to order. We know that there's negotiations on pricing, kind of that's the way these things work, and it looks like it's going well.
Rob Brown: Okay, great. Thank you. I'll turn it over.
Operator: We'll move next to Soumya Jain [ph] with UBS.
Unidentified Analyst: Yes. So we had read that Cummins had confirmed that UPS purchased 250 natural gas-powered X15 engines in part of their decarbonizing efforts. I guess do you guys have any insight or outlook on that and how that will play a role with clean CLNE or in general?
Robert Vreeland: Well, they're a leader. I mean, UPS is kind of a leader. And the fact they've jumped out there, right, Andrew.
Andrew Littlefair: Well, I mean, they've always been.
Andrew Littlefair: Right. I mean I made my first natural gas deal with UPS and back when I worked at Mesa with Boone Pickens almost 30 years ago. So I mean, UPS has always been a pioneer at this, and has always been involved. So this doesn't surprise me. It's - look, I'm taking the word of Cummins Engine CEO who mentioned it. I don't have any independent cooperation. We provide a lot of RNG to UPS. So I guess by virtue of that, we'll end up selling them a lot of RNG.
Robert Vreeland: I mean, I think that's a strong endorsement of the engine.
Andrew Littlefair: I mean nobody has used more natural gas vehicles for longer and different kinds of them than UPS. I think UPS is somewhere around 1 billion - correct me if I'm wrong on this, Bob. I think they're approaching 1 billion miles on natural gas.
Robert Vreeland: Absolutely.
Andrew Littlefair: So they've been at this a long time. That's a good sign. We see that as a very good sign.
Unidentified Analyst: Got it. Great. Thanks.
Operator: [Operator Instructions] We'll move next to Matthew Blair with TPH.
Matthew Blair: Thank you and good morning, Andrew and Bob. Bob, I wanted to ask a couple of questions on that RNG production guidance, the $4 million to $6 million for 2025. Is that a gross number? Or is that net including your partners? And then two.
Robert Vreeland: No, that's what would be produced at the projects. And then wheels [ph] we split the economics that comes off of that. But when I'm speaking of what the projects will produce, I'm going to always try to do that at what that - what the dairies will produce. And then when we get into some economics, we might talk about, hey, we get 50% of that dollar value.
Matthew Blair: Got it. So it's a gross number. And then you mentioned that the economics on that, we'll see on the 45Z. But what about the California LCFS credit for that production? Where do you stand on applying for credits as of the back half of 2025, would it be your expectation that you would be receiving California LCFS credits for that production? Or is that something that could get pushed into 2026?
Robert Vreeland: No, we would perceive that. We would see LCFS credits from that production. We're in that process now with the normal kind of stabilization, which you have to get to a kind of a stabilized run rate, if you will, and then you get your application in and then we get that done. But we can get - we can go off of - of a temporary CI while we're in that process. And then we'll see how CARB comes out and are anticipating that they'll allow kind of a look-back true-up too when we talk about the temporary CI versus a provisional CI.
Matthew Blair: Okay. Sounds good. And then lastly, with the X15N, I was hoping you could help us think about the payback period that some of the customers might enjoy on the engine. Some of our rough numbers, we've heard that the premium for trucks with the engine is around $40,000 to $50,000. We're assuming about 120,000 miles per year, about a 6 MPG. And so if you assume about $1 spread between diesel and natural gas, that would be a payback of either 2 or 2.5 years on the trucks. Does that match up with what you're thinking? Or are there any of those numbers...
Andrew Littlefair: No, Matt, I think that's kind of close. I mean actually, the incremental could be a little bit more than that. You got to remember, there's a fuel package in there. Right now, as these are being introduced that you could have an engine premium somewhere in that neighborhood. So just frankly, look at something that's closer to 75,000 and then use 15,000 gallons, diesel gallons and then figure that the customer might be able to enjoy more of a savings per gallon, maybe closer to $1.5. So what we know, we're kind of getting to where you are. But we - what we've always strived to do and what we know gets us into serious negotiations. And I think it's a good point, Matt. You know what, all fleets want to try to be sustainable today for the most, but you know what, it has to be economic. And that's just the fact of life. And so we try to engineer it so that we get - and we know that we can have a fruitful discussion and negotiation with our customers when we get inside a 2-year payback.
Matthew Blair: Thank you.
Andrew Littlefair: And that's what we strive to, yeah. You bet.
Operator: We'll go next to Craig Shere with Tuohy Brothers.
Craig Shere: All right. Congratulations on a strong quarter.
Andrew Littlefair: Thank you.
Craig Shere: Thanks for taking my questions. So what was the upstream JV production run rate in the quarter versus that $4 million to $6 million guide for next year?
Andrew Littlefair: Let's see, it was about - I'm going to say 87,000 Ms [ph] in the quarter. So that would be about 2.8 million gallons annually. So good question, Craig. I mean, so 4to 6 is coming off of where we're at right now of 2.8%. But keep in mind that these literally kind of went into operations in the third quarter, okay? So you're - yeah, you're just getting going on this. But at the same time, we're - we know it takes a little bit of time to really get the thing ramped up. I mean, but we are seeing that they can be ramped up, okay? So they're not all the same, but like our deal in Texas is - oh my gosh, I think we've kind of started out counting 1,000 Ms in a month, and that thing is on its way to 9,000. So you can - so the ramp happen. It just takes time.
Craig Shere: Right. Apart from the ramp, you would have had limited LCFS monetization, right? So as these things ramp and - okay.
Andrew Littlefair: Yep.
Craig Shere: Okay. And so I guess as they ramp and you get the LCFS monetization, the upstream drag kind of really notably narrowed in the third quarter. Could this zero out and start turning positive over the next quarter or two?
Andrew Littlefair: I'd be careful there. I'm going to probably just say no. Okay? Look, here's the thing. We have a couple of dynamics there. They'll get better. The operating ones will get better. And maybe they could get closer to - maybe they could get kind of closer to breakeven. We're also working on, I'll say, potentially the largest digester project in the world in Idaho. This thing is - and it's a beautiful thing, but the arrangement up there, we end up with some operating costs going on while we're constructing that. And so those will continue. And so if the operating projects don't produce enough earnings, then you could still see some negative. But frankly, if the PTC comes in and starts in '25, that kind of - that potentially changes that whole dynamic right there. I'm just - we're being cautious on the PTC, but there's no reason to think that it's not going to happen. And folks have talked about, could it be $6 a gallon. And so we'll see on that. But that's kind of how that comes together.
Craig Shere: Okay. And the nearly $60 million RNG sales in the quarter, so there's no onetime stuff. It was all through your downstream network. And is that a quarterly record?
Andrew Littlefair: It's very close. It could be. Thank you. I should have - I should have said that.
Robert Vreeland: We're very proud of that record.
Andrew Littlefair: So we are right. But you don't want to say it and then say that we had some of the out-of-the-network stuff. But no, this was kind of straight up what we do.
Craig Shere: For your core downstream distribution.
Andrew Littlefair: Core downstream distribution. Yeah.
Craig Shere: Okay. And there's no reason to think that - because you had a good, I think it was 4% plus sequentially, you're talking about year-over-year. Is there any reason to think that this trend isn't going to continue into next year on a quarterly basis? Or how should we think about that?
Andrew Littlefair: Well, there's no real - look, I think the trend can continue. I don't know if you'll - it can be a little lumpy as we've seen in the past with sometimes supply and that. But it's all kind of tied into general volume and adoption and the growth in - so that has to happen. It's not just RNG. It's also predicated on - and we see that happening. So I think kind of a gradual increase is what we expect.
Craig Shere: Got you. And last one for me. I want to try to better understand the economics to clean of the hydrogen fueling stations versus the CNG fueling stations and to the degree you can set up a fuel supply sourcing H2 from RNG that you procure, I mean, do your margins increase that much more?
Andrew Littlefair: I think this is early days on these hydrogen projects, and this is with transit properties. And so these are really projects. And we have long-standing relationships with these transit properties. We're building these stations. We have a construction and management fee built into those projects. Usually, the fuel supply arrangement is separate. And as you well know, the hydrogen and often these projects call for one third green hydrogen. That's not the easiest thing to come by. And so these are really - usually, they're structured as pass-throughs. There may be a day where you would - it would be more like our normal business. But today, we're providing a service to our customers. We're making money on these things as we build them, but it's not - it's more of a construction service arrangement. Not a lot of risk on the fuel supply at this point.
Robert Vreeland: Yeah.
Andrew Littlefair: You've got multiple stakeholders, partners supplying this hydrogen fueling station. We have our part, but we're not jumping in and becoming the hydrogen supplier at this time. We're seeing a lot of interest at the transits on this. And I'd like to think that we're doing well. We've got several in the queue right now that we're bidding on. So that's always been our strategy is to try to do what it is the customer as we can be helpful, yeah.
Andrew Littlefair: But we've said it. I mean the hydrogen world, it's what we do today, right, delivering highly pressurized gas into vehicles. And so we can do it, and we're proving that with the transit, but we're not getting out ahead of ourselves on that. We're accommodating our customers, but we're good at it.
Craig Shere: Understood. Thank you.
Operator: We'll go next to Eric Stine with Craig-Hallum.
Eric Stine: Hi, Andrew and Bob.
Andrew Littlefair: Hi, Eric.
Robert Vreeland: Hey.
Eric Stine: So I'm jumping around on calls, so I can virtually guarantee I'm going to ask a question that someone else has. But I will give it a shot. Oh boy, yes, I'll give it a shot. Just in light of the election outcome, I've read quite a bit that California has taken a number of measures to kind of ring-fence the LCFS. Any thoughts on that in addition to - I know we've got a meeting coming up here in a couple of days. Any thoughts on what the outcome there might be as well? And you can tell me that it's already been asked, and I can read the transcript later.
Andrew Littlefair: No, it has not been asked. Good question.
Eric Stine: Okay.
Andrew Littlefair: And I've read a lot of the things that you've read and I hear about them wanting to sort of protect the program. Usually, that kind of thing has been more focused on the waiver and how they would get around if the EPA somehow didn't grant them a waiver on the different truck rules. That's how I've always read that. Now on the LCFS, I'm not sure, Eric, I'll have to get back to you on that. That's not really ringing a bell. I mean I think the LCFS is alive and well. It's part of the it's a 10-year program. As I mentioned on the call, Eric, that you didn't - maybe you didn't hear. I mean there's a vote tomorrow on kind of the next rules.
Eric Stine: Yes, I'm curious on your thoughts on that.
Andrew Littlefair: Well, I think that's going to sort itself out. And I think that's largely going to get squared away tomorrow. You're going to increase the compliance curve. You're not going to have any draconian rules about saying you can't use dairy gas and can't be cows in California. All that stuff that was once talked about is kind of going away. And avoided methane will qualify. The booking claim will be in place for several more years. This program will sort of largely be in effect for about another 6, 7 years as long as you do projects up until then. And the compliance curve will ramp down and there will be an automatic feature that I think it will get adopted. So I think generally, it's good news for the industry, and it will be constructive to prices, and you'll begin to work the bank off. There's an oversupply credit, and it won't happen overnight. I imagine it will be supportive to an increasing price over time, and you'll largely work off a lot of the oversupply in 2025. And by the time you get to 2026, you'll have worked off a substantial portion of that credit bank. That's how I see it.
Eric Stine: Okay. All right. That is helpful. And yes, we'll be watching here. It's tomorrow, right, I guess, that vote. And maybe just on the 45Z, I mean, I know we're still waiting on guidance there. And just curious, I know you get asked this every quarter. When do you think that guidance could come? Has there been any change to what you think it might look like? And I guess, coming back to the political outcome yesterday, does that impact what you think the 45Z is or the form it may take given the outcome?
Andrew Littlefair: Well, I've been wrong on that one. I just - knowing the interest and how important these kinds of program were to the Biden administration, I just had it - and my conversations with key members in the White House, I just figured they would have gotten that thing done and got it put to bed, and it hasn't been. And so now we've heard, like you probably have heard that they're going to promulgate that draft rule after the election, but before they go out of office. Now there's a timing associated with that. And so they better do it pretty soon so that it becomes effective with the comment period and all before they leave office. There's been - there have been some - the Fed have discussed, well, maybe we should get rid of the elements of the IRA, get rid of the thing altogether. But then there's been letters from to the speaker and to the leadership saying, no, we'll wait a minute. Don't take a meat cleaver to the IRA. There's a lot of good stuff in there for rural America and for biofuels. So having said all that, I think what you're going to see is I think this administration probably will put a rule - put the these rest of the IRA rules out pretty soon. And some of them will get maybe just before the next President Trump takes over will get finalized and maybe some won't. I think you'll have the Congress look at the IRA carefully and look for certain things, certain programs that they may want to trim, they want to use a scalpel rather than a big clever at the whole thing. And so I think there's going to be a lot of support for elements of the IRA, but there will be some trimming, I believe. And I think largely, the 45Z will have pretty good bipartisan support, kind of how I see it. And that's kind of where we are. So it's hard to tell. It's hard to - you've got Mr. Musk involved now. So how does that affect certain elements of it. But it's a little hard to tell. But what I've seen over the time is this has gotten to be more bipartisan as you really begin to look at it, right? Even when you look at our piece of the business, you have dairies in rural districts that are in red states. And you have blue states and blue cities that want this stuff. So it's complicated.
Eric Stine: All right. Appreciate the thought.
Andrew Littlefair: I think it will largely go into effect over time.
Eric Stine: Okay. All right. I'll take the rest offline. Thanks a lot.
Andrew Littlefair: Okay.
Operator: We'll move next to Pavel Molchanov with Raymond James.
Pavel Molchanov: Thanks for taking the question and I appreciate all the political commentary, very helpful. On a different topic, you guys have been selling to Houston Metro for, I think, as long as the company has been around. So when you say the first private station for Houston Metro, can you just explain how that's different from what you've been doing with that customer?
Andrew Littlefair: I'm kind of looking around the room here, Pavel, as some folks. You know what, I called on Houston Metro to get them to go from diesel to natural gas like 25 years ago. I met with the mayor of Houston, Bob Lanier, like 20 years ago, a long time. So I've been at it. We - our team met a long time, but we haven't been doing business with Houston Metro. So they finally came to the program and asked us and we bid on a big fueling station where they're going to take their first 120 buses that are going to go to natural gas is really big.
Pavel Molchanov: That's right, Andrew.
Andrew Littlefair: So it's new - they were one of the holdouts in the country. Look where they are. They're down in the oil and gas area. So they were just slower to come to the program.
Robert Vreeland: Yes, Pavel, maybe you were thinking of Dallas. But Dallas, we've been doing for years. They've been like this kind of just - they had - we haven't done anything for them. So it was very exciting that they have decided they're going all in.
Pavel Molchanov: Okay. Yes, that's helpful. I think the - you're right. I was probably thinking of the - that other city in Texas.
Robert Vreeland: Exactly, yeah.
Andrew Littlefair: There's a bunch of others. That's a big one for us.
Pavel Molchanov: That's right. Let me ask the kind of a CFO question. The financing that you guys did just about a year ago at the end of '23 for $300 million. Have you pulled down pretty much all of that? And if so, will there be a need to raise any additional capital to get through next year's CapEx?
Robert Vreeland: No, we haven't pulled it down, and there won't be a need on that. I'll - we have $100 million that we haven't pulled that is available to us. So if something came along that was kind of incremental to our growth plan right now, we would utilize that. But for what we have in front of us, we're good.
Pavel Molchanov: Good. We'll be watching the LCFS tomorrow.
Robert Vreeland: Yes, exactly.
Andrew Littlefair: You better get some popcorn in the pillow because I think it's going to go on for about 5 hours.
Pavel Molchanov: Appreciate it.
Andrew Littlefair: Oh. It's Friday. I keep thinking it's tomorrow.
Operator: We'll move next to Betty Zhang with Scotiabank.
Betty Zhang: Thanks. Hey, Andrew. Hey, Bob.
Andrew Littlefair: Hi.
Betty Zhang: I wanted to ask for an earlier question, you talked about your project in Idaho that is incurring operating costs during the construction phase. Could you elaborate a bit there? And is this common for your RNG projects under construction?
Andrew Littlefair: It is not common, but this was unique and part of the uniqueness is the potential and the size of this deal that kind of came our way together with our partner on that. But - so it factored into, the arrangement factored into really the overall picture and what the ultimate outcome could be on this project. So I'll just say that's how this thing evolve. But it really relates to us doing - building and performing work around the handling of manure. And we knew when we kind of went in that, that would - there would be kind of a cost to that. So it's built into our overall kind of project returns of what we would be doing. But that piece is so instrumental also to the ultimate end operation of the digesters that we really - we did want to take a kind of almost a significant stake in, and we're willing to around that kind of handling of manure. But just frankly, the way the accounting works on that is that you're not going to put that activity into the cost of building those digesters, although from a return standpoint, we really viewed it that way, knowing that we'd have a period of operating this. So in the end, this will, in our view, very much help the efficiency of this project, the fact that we've been more involved in that front-end process. On say on smaller dairies, we can - we can look to the dairymen farmer in that kind of that critical manure handling piece. So that's really almost before our project and then we construct the project. This one, we chose to kind of get into that piece as well. That will carry on. Like I said, until we - when we're producing the RNG, that will kind of continue, but we'll then have the whole economics of the dairy project, and we're looking at the fourth quarter of 2025.
Betty Zhang: Okay. Understood. So kind of a one-off here. For my next question, I wanted to ask in your opening remarks, you talked about how you're receiving a greater share of the RINs. Is that just coming from the mix, including more of your own RNG production? Or would that be from your share with your RNG suppliers going higher?
Andrew Littlefair: Yeah, it's principally on the share and the supplier and just the market dynamics. We talked about that. We have talked about that because about I'll say, last year, that number was kind of coming down. And we said that we were working at that, and some of that's dictated by market dynamics and kind of who holds leverage and that sort of thing. And we saw that we would be able to kind of leverage our position in that space. And so we're seeing some of that.
Betty Zhang: Great. Okay. Thank you.
Operator: We'll move next to Dushyant Ailani with Jefferies.
Dushyant Ailani: Hey, guys. Thanks for taking my question. I've been jumping between calls. I'm not sure this has been asked already. But the first question was on just the guide, the full year guide. Usually, 4Q tends to be the high watermark, at least it's been in the last year. And then if you keep that cadence, then we could see you guys beating your full year guide. Is there anything that I'm missing to think about for 4Q, like any puts and takes there?
Robert Vreeland: No, Dushyant, look, I would say that the kind of the high watermark sometimes can be Q3. Q4 is okay, but we've also seen Q4s with - that have come off a little bit from the third quarter. So if we absolutely repeated it, then we'd be at that high end, frankly, maybe exceed the high end there. So - but we gave the range, and I wasn't going to micromanage this thing. We are - we gave a range of 62 to 72. And based on our results thus far, we feel like, okay, well, that stays put. And if we go over it a little bit, great. But if we don't, we're still within our range.
Dushyant Ailani: Got it. No, that's helpful. And then the second question was just on, I guess, this has been asked a couple of times, I'm sure already, just on elections, but more so, how do you think about the RVO obligations next year with the new administration with DC RINs [ph] There are many things to consider like the cellulosic waivers or even small refinery exemptions? Kind of how do you think about all that going into next year? And just maybe the impact? A - Andrew Littlefair Right. So, you know, look, we - that's a little bit of crystal ball, right? So we know that the next EPA is going to look at that. We're all over that. We understand it. There could be small exemptions and all. So there will be another RVO. Will it really - will they set it next year? I don't know. It may slip a little bit. So we'll kind of see. But yes, we'll work on it.
Dushyant Ailani: Yes, hard to form a view on that at the moment. Okay. Thank you.
Operator: We'll move next to Jason Gabelman with TD Cowen.
Jason Gabelman: Hey. Good afternoon. Thanks for taking my questions. I wanted to ask - I wanted to go back to the upstream RNG projects that are ramping up. And I think we've thought about OpEx kind of being $3 per gallon there. Now that the - some of your assets are kind of hitting steady state, is that the right number? And then similarly, on kind of the credit value that you capture, I think the rule of thumb was kind of around 70% of whatever the credit is you would capture in the upstream assets. Is that still fair?
Robert Vreeland: I think the OpEx is ballpark steady state where I'm going to tell you we're not there right now. But - well, not on all of them. And it just like anything is kind of ends up being predicated on your throughput. And so we're ramping that. But it's achievable and in the ballpark. And then on the share of the credits, I think you're - well, I mean, you're generally in the 80-20, retaining 80. But look, the market - we'll have to - we kind of have to see a little bit on the PTC. There's - that's out there. There's a little bit of maneuvering around who keeps that's values. And therefore, we're on both sides of the fence there. So on our projects, we'll do things at - certainly at arm's length between ourselves. But I think when we are in the marketplace, we have a valuable asset in our distribution. And so we make sure that we get our fair share of the credits from that downstream position. And then on the - as we're the producer, well, we're going to be the main customer for that. But 80 the 80-20 is in the ballpark, but you may hear someone gets more than that or a little less, but I think that would be moving by 5 points or something either way.
Jason Gabelman: Okay. And my other question is on the upstream project backlog. And I know you've kind of moved away from really quantifying the backlog. But just in terms of the direction of travel, would you say that backlog is still growing? Has there been a pause given the uncertainty both in the LCFS vote and just ahead of the election? Just some color around how that backlog has trended would be helpful.
Robert Vreeland: Yes. I would say it's - I'm not going to go full pause on that kind of thing. I mean we're being prudent and cautious. I think how we - at the moment, the way we view this is that we have we have not all that we can handle, but we've got a good slate of projects that we're bringing on that we've got with Darryl Maas. We've got another one in Texas. So we're staying disciplined, but I don't want anyone to think that backlog is kind of drying up or anything like that. We're moving forward, but we're being disciplined with our capital. And we're kind of cognizant of getting returns. And so we're just mindful of wanting the time frame on that. So we may look - we're looking at everything.
Jason Gabelman: Okay. Thanks for the answers.
Robert Vreeland: You bet.
Operator: We'll move next to Paul Cheng with Scotiabank.
Paul Cheng: Hey, guys. Just want to follow up with Betty's earlier question. You're getting a little bit higher share of the RIN. Can you quantify that? I mean, what percentage that you are getting more? Is it 1%, 2%? And also whether you are seeing that trend continuing into next year?
Andrew Littlefair: Well, Paul, I would say, look, on the RIN, you can kind of engineer the math on that really almost from our statements and assuming index and all that, you'll see a little bit more. But I can say that maybe it's closer to 5% last year was like 3.5%, like our net-net take on the RIN.
Paul Cheng: So you're saying that is 3%, 3.5%?
Andrew Littlefair: Well, it was. And I'm saying that we've now trended past - probably past 5%.
Paul Cheng: Right. And that - do you see that continue or that there's a couple of projects that allow you to do that in the third quarter.
Andrew Littlefair: We're just about 5% - sorry, not past it.
Paul Cheng: Right. And - but I guess the question is that do you think this trend is actually repeatable? I mean, what's the resistance when you're talking to your supplier at this point?
Andrew Littlefair: Well, there's a limit on - there's - look, the market, there's all kinds of dynamics there, Paul. I would say that that we're - we are trying to cut deals appropriate for us at the producers, but then you also have customers that want to share and their sophistication is growing. So - and then that market, everybody is wanting to put their RNG places. So we have improved in that area, but there is resistance in the form of just market dynamics, competition, customers wanting more shares. So it's a good trend, but it's not going to go to the moon here overnight.
Paul Cheng: And also, the other question is a little bit of the curveball maybe. In the U.S. and in Canada, it seems like you get pretty excited about the outlook in Canada. If you're comparing the two operations, how is the profitability look like when you're comparing them? And also that do you have a plan? How many stations you're trying to build out in Canada versus in the U.S.? Because in the past, I don't think you are really focusing on building out the Canadian network. It seems like most of the station is in the U.S.
Andrew Littlefair: Paul, we're starting carefully, right? In Canada, you really needed and before you want to get too far ahead of yourself, you needed the X15N, right? You needed the larger engine that can handle the grades. Frankly, you actually need an 18-speed transmission to handle the Western Canada. So with our partner, Tourmaline, the concept is to build out a network running from Alberta West to the Pacific Ocean. And it will start with 7 stations. It will eventually, when you build out the different nodes on that, you could see a day where it would have 20 stations. And you'll also then go east. But you got to be a little careful here. You got to grow the market at the same time you build stations. And so I like the way it's working. We've done that before in our history of our company. And so we've kind of - we have very engaged partners. We have very engaged fleets. We have some of the most significant dealer networks. Fleets in the country, I like the way it's going. The economics in Canada is very strong, very cheap natural gas. Today, it's fossil natural gas. Over time, it will move to a portion of it will be RNG. You could save the customer 50% on the cost of what they're paying for diesel, so the economic thing in Canada. And so we're ready to get the X15 there. We're ready. We have to get the 18-speed transmission as well. We'll have those stations at least the beginning of the Western network at about the time that those trucks are available.
Paul Cheng: I guess, Andrew, my question is that the way how you make money out of those stations, is it the same way in Canada as the way that how you've been doing it in the U.S. I guess that's...
Andrew Littlefair: Yeah...
Paul Cheng: And same basic business model that is...
Andrew Littlefair: Sorry, went along. Yes, it's the same model.
Paul Cheng: Okay. Thanks.
Andrew Littlefair: Same thing, yes. All right. Sorry.
Operator: And with that, we have no other questions holding. I would like to turn the call back over to Andrew Littlefair for any additional or closing comments.
Andrew Littlefair: Thank you, operator. I want to thank everyone for listening this afternoon, and we look forward to updating you on our progress next quarter. Good day.
Operator: Thank you. Ladies and gentlemen, that does conclude today's program. We thank you for your participation. You may disconnect at any time.
Andrew Littlefair: Thank you.